Fredrik Wester: [Audio Gap] For example. And our EBIT is not at the level where we want due to a number of big write-offs during the quarter. But if you look back on 2023 in general, we had a good lineup of DLCs, meaning that our production line is coming together and we see a productivity increase. We released 4 base games, and we have 5 experimental releases from Paradox Arc. So, we're getting there. Sure. I've been getting a lot of questions about Paradox growth going forward. And so I thought we would look back a bit as well. So when I joined the company in 2003, this is 20 years ago, in August last year, it was 20 years ago, we decided to go back to 2005 on this one. I don't think we found any numbers from 2003 and '04. But in 2003, our revenue was SEK 10 million. We just closed the books on SEK 2,600 million, just over that. And this has been done without adding any capital, without raising a single dollar in capital, with 100% organic growth throughout the years. So, we believe that this is obviously very strong and we believe strongly in our continuous growth as well because of the strategy that we set out 2 years ago with a dig in, stock up, breakout, different parts that is growing the company together. So, we just wanted to show this and say, this is the history of Paradox and hopefully, we're looking forward to the journey ahead as well, that we believe, at least I believe, that the best of our journey is still ahead of us. If we go through Cities: Skylines II, which was the main release this quarter, we didn't really meet player expectations when it comes to performance or the release on consoles. This, including modding was lacking as well. We still sold well because the underlying game is really good. So, we sold just over a million copies after the end of the quarter. We are now working really hard on improving said things, including performance, and we are going to develop this game for many years to come. So Cities: Skylines II is one of our long-term engagements and is one of our most important franchises as well. If you look at the other releases in the quarter, you had Star Trek: Infinite and The Lamplighters League that I mentioned. That was one of the reasons our financial performance wasn't where it should be. 2 releases from Paradox Arc that didn't make much of an impact, but worth mentioning, Stellaris Nexus, which is a multi-player focused, more board-like game experience, and Space Trash Scavenger, where you collect things and build things in space. Now the games didn't sell that much, but they both got really good reviews on Steam. So, they're both over 90% on positive reviews on Steam, and that's a start. We know how to find good games and we're learning how to scale them and build large franchises around them. DLC releases in the quarter, obviously, help as well on the revenue and the EBIT side. So, we released basically DLCs for all our major Grand Strategy franchises and Age of Wonders 4 in this quarter. We also released a smaller DLC for Across the Obelisk, and Across the Obelisk was also brought into the main portfolio during the year. So, we're looking forward to developing this game in the coming 5 years to 10 years to come. Announcements made after this quarter is Prison Architect 2, where I myself have a couple of 100 hours, so it's going to be really exciting to see when it releases. Hearts of Iron IV: Trials of Allegiance, Age of Wonders 4: Primal Fury and Crusader Kings III, a small, just graphic DLC, North African Regal Attire was released as well. And that's it for me. So, I'll leave you with the numbers. I'm going to comment on some of the numbers as well if I may.
Alexander Bricca: Please do. So let's get started. As Fred mentioned, we hit a new record in terms of revenue for the quarter, almost SEK 1 billion, just short of SEK 4.5 million. So, SEK 996 million in Q4 2023. The year before in the same quarter, we did SEK 580 million. So, that is 72% year-on-year increase. The previous record was in Q2 in '23, then we did SEK 737 million. So, we broke the record with an impressive 35%. As often, the reason why our revenues deviate from quarter-to-quarter is currency changes, but also, of course, what we released or even more so what we released in the quarter. If we compare it a year ago, the currency didn't do much change. The dollar has been fairly flat over the year. And -- well, it has moved a lot. But if you just look at Q4 versus Q4, it's on the same level. Pound in Europe a little bit, but the impact from currency has been very low quarter-to-quarter. What has changed quite a lot on the other hand is, as Fred already as mentioned, what we have released. And Q4 '23 has been a massive quarter in terms of releases. Cities: Skylines II, of course, new games, Star Trek, Lamplighters, the Arc games as well and DLCs on all our big franchises. So, all our GSGs, Stellaris got one, Europa Universalis got one, Hearts of Iron got one.
Fredrik Wester: Crusader Kings.
Alexander Bricca: Crusader Kings, Victoria 3, Age of Wonders got one, and Across the Obelisk. So, all our big franchises got DLCs.
Fredrik Wester: Full quarter.
Alexander Bricca: A full quarter. And that, of course, pushes up revenues. So, that is fantastic. Top 5 contributors, we always share. It's 4 of the 5 usual suspects. So it's Cities, of course, CK III, HOI and Stellaris. The fifth one, which isn't there often is Lamplighters. So even though we are far from satisfied with the financial result, it still generated a significant amount of revenue, large part driven by the deal we had with Microsoft to have the game on Game Pass. Let's move forward in the P&L and talk about operating profit, SEK 124 million. There, we are down compared to the same quarter of the year before when we did SEK 244 million. So it's down 49%. Profit after financial items, SEK 131 million compared to SEK 244 million. So, profit after financial items is higher than operating profit. The reason why we have that is we have a significant amount of cash, and we get interest on that. So therefore, we have increasing profit of the financial items compared to the operating profit. Profit margin. So, this is after profit after financial items divided in revenues, 13% for Q4 2023. It's significantly lower than the same quarter in '22 when we did 42%. And 2 explanations. One is, of course, Lamplighters League. That contributed with SEK 250 million in a negative result in Q4. So if we hadn't had the game in the Q4, the revenues would have been SEK 381 million, and the profit margin would have been north of 40%. So, our core business is performing as always. We also had elevated marketing costs in the quarter. We'll come back a bit to that, but we have spent significant money on games that we haven't released in the quarter. So Prison Architect 2, Foundry, Millennia, Life by You, all games that will come after the quarter, so haven't contributed revenue and therefore, margin is being held down a bit. Employees at the end of the year, 625 versus 656 the year before. We have decreased. The reason is that we have closed offices in Arctic, Thalassic and Seattle. In these numbers, we still have, I think, 18 FTEs in the Seattle office, but they left just at year-end. So, they're in these numbers, but January 1, it's 18 less. I forgot to mention equity through asset ratio, strong 73%. So let's break down the costs a bit more. The chart you see shows revenues in green. We have talked about revenues already. But what this chart adds is that it shows how fluctuating our revenues are. They vary with the releases. So, up a lot versus previous quarter where we didn't release almost anything in Q3. And this is -- we would have loved a smooth release stream, but it hasn't been so far, and it's not going to be that going forward either. So..
Fredrik Wester: No. I mean, we -- our long-term growth, as you've seen in the historical chart, we have a plan for long-term growth, but it's still going to be a bit different from quarter-to-quarter. So it's still going to be a variety, depending on what we release, basically.
Alexander Bricca: Exactly. So cost -- 3 main costs, cost of goods sold, selling expenses and admin expenses. Let's spend some extra time on the cost of goods sold since it's by far the largest cost, and it has gone up significantly compared to the same quarter the year before. So it's basically the costs to develop all our games. So, costs for internal studios, external studios, royalties to external studios, amortizations on studios and brands that we have acquired, all the costs we have for our central tech organization, for example. So everything that's related to making games.
Fredrik Wester: But in brief, when we buy a studio, we write it off over a period of 5 years, normally, right?
Alexander Bricca: Yes. When we acquire studios but also IPs, we amortize it to 99% of the cases. We have one small exception where we had allocated SEK 2 million to goodwill. But everything else has always been allocated to assets that we amortize over time.
Fredrik Wester: Over a 5-year period.
Alexander Bricca: Depending on the asset, but roughly 5 years. So that has -- we can mention that already. So in this SEK 712 million, every quarter over the last years, we have had roughly SEK 20 million of amortizations on those acquired assets. And that's, of course, the decision we have taken that we want to amortize it over time instead of risking, ending up with a too big balance sheet. So amortization of acquired IPs is included, SEK 20 million or SEK 19 million. It has decreased a bit. It's going to decrease going forward a bit because Harebrained Schemes, we have stopped amortizing on it since half year back. Prison Architect is 5 years ago. We acquired that IP. So, that will stop now. So that number should probably go down. But considerably larger amortization is amortization of capitalized development, and that has gone up a lot this quarter. So, SEK 300 million in Q4 '23 compared to SEK 119 million Q4 in '22 or Q3 '23, which is the closest one in time, SEK 114 million. So, up from SEK 114 million to SEK 300 million in just 1 quarter. And it's all due to what we have released. So Lamplighters, we have already press released that and said that, that impacted amortization with SEK 150 million. So just SEK 150 million come from Lamplighters. Then we released Cities II and Star Trek, all with aggressive amortization model that also pushes up amortizations. And we released DLCs on all our....
Fredrik Wester: Key franchises.
Alexander Bricca: Key franchises. Yes. And roughly half of them, so CK III, Victoria 3 and Age of Wonders 4, there we have this aggressive amortization model, meaning that we apply that also for the DLCs we released on those titles. So, we take 1/3 of the capitalized development in month 1 and another 1/3 in the month to 6 and so on.
Fredrik Wester: And the rest over...
Alexander Bricca: Over the remaining 12 months after that. So if we release something in October, we take 1/3 in October, and then we take roughly 15% again in November and December. So in full quarter, we almost take 50% of the capitalized development. So quite...
Fredrik Wester: And when did we change? Was in 2020?
Alexander Bricca: Yes. CK3 was the first game when we started to apply this on. Yes. We have -- speaking about the capitalized development, we took a massive write-down in the quarter as well. So Lamplighters, we've talked about several times. We amortized SEK 150 million on it, but we also wrote down the rest. So, SEK 171 million in write-downs. So in total, SEK 320 million in amortization and write-downs in just 1 quarter for Lamplighters. And that, of course, increases COGS and pushes down profit and profit margins for that quarter specifically. Now after that quarter, we don't have any costs left. So that's good. We also -- there was also one other game that we wrote down. We had released that game. We haven't announced which game it was, but we released it earlier in the year. It didn't generate much profit. We had almost amortized everything off, but it was still SEK 5 million left on the balance sheet. So, we decided to write that down in Q4 as well. Royalties, considerably higher in Q4. Royalties is one of the costs that I like to pay because it's just a percentage of the revenue, so higher royalties means high revenues. And this is -- what happened in Q4, we released Cities: Skylines II. And with that comes high royalty. So, that royalties landed on SEK 112 million in Q4. Normally, it's around SEK 30 million, if we look back the last 18 months to 24 months, so quite significant increase. But also a significant increase times, a few on revenues. Also, royalties goes up as our Arc business becomes bigger. When we release games on Arc, when we sign games for Arc, we work more with royalties in order to keep our investment down. So in order to keep risk down, we are happy to share a bigger part of the revenues than we used to. So, we capitalize and amortize the significant part of our development. But some of the development costs we take is cost directly. And in 20 -- in Q4 '23, we took SEK 100 million of such costs compared to SEK 73 million Q4 '22 or SEK 85 million in Q3 '23. So that has gone up. And this is our central tech organization that don't work with specific game development, but they work with the platforms and develop that. Also, all the games that we signed through Arc, as we have said a few times, we don't capitalize those anymore during the early phases. So...
Fredrik Wester: They go directly as costs.
Alexander Bricca: They go directly as costs and they end up here. And this is the reason why these direct development costs have gone up in...
Fredrik Wester: In the short term.
Alexander Bricca: Yes. And this -- over time, it doesn't matter. The impact this will have is that we will have less to amortize and less to write off.
Fredrik Wester: And hopefully avoiding a bit of sunk cost fallacy in projects going forward because that has been a thing of the past as well, that you have a sunk cost fallacy in projects where you have some things in the balance sheet. So...
Alexander Bricca: It's an easier decision to cancel a game project when you don't have a massive amount of the balance sheet. Yes, agree. So what else? Yes, we also stopped capitalizing when we released Lamplighters at the beginning of Q4. We saw that it didn't sell much. We had already committed to release one small DLC and of course, support the game, as we always do, but we stopped capitalizing in Q4. So the costs we had for the studio and the development of these DLCs, we took as costs directly in Q4. That's why this item has slightly increased in Q4 as well. Let's shift line and talk a bit about the blue line, the selling expenses, that's also up significantly compared to a year ago, so from SEK 45 million in Q2 '22 to SEK 86 million in Q4 of last year. So 2 reasons. One, obviously, we have released much more in the quarter. So, releasing Cities: Skylines II, releasing Star Trek, Lamplighters, all the DLCs comes with increased selling expenses, of course. But we also have quite a lot coming up. So, we mentioned Prison Architect 2, Millennia, Foundry, Life by You. We have started to do marketing campaigns for that already in Q4, and taking those costs in Q4. And we didn't have anything like that a year ago. So therefore, the selling expenses has gone up. Admin expenses is normally around SEK 22 million, SEK 23 million, slightly elevated in Q4. We had a huge get together for the whole company group back in October, where we flew in everyone that didn't work in Stockholm, and we spend 2, 3 days together here. So, that was the staff conference we had. Therefore, we see slightly increased admin expenses. Other income and other expenses, let's spend a few -- couple of minutes on that one. So, this is currency movements in the quarter. It's strongly negative in Q4 this year or in '23, minus SEK 45 million. It was negative also a year ago, but not that much. So what happens is that when we have closed the month, we invoice our distributors for the sales in that month and we invoice in U.S. dollars. We book, for example, Steam and Microsoft in place, Sony and everyone. We booked that in SEK according to the currency on the date. We send the invoice. And that happened, for example, at the very beginning of November, we send big invoices because we had sold a lot in October, of course, with Cities: Skylines II and everything. We book it to the rate we had. And then 30 days later, when we get the payments, we get the same amount of U.S. dollars, of course, as invoice said. But translating that to SEK, when we got it at maybe the beginning of December, then the amount of SEK was less than we thought a month before.
Fredrik Wester: So basically, it's the strengthening of the krona that keeps our revenue less than SEK 1 billion this quarter. But on the other hand, historically, the krona is quite weak, but it's been strengthening in the last couple of months, right?
Alexander Bricca: Yes, in Q4, it has strengthened, and that movement ends up on this row. So, yes. But as Fred said, over the last years, if you look back at our quarterly reports, we mostly have fairly big positive items here. Let's move on. Financial income and expenses. This is interest. The positive is a real interest. That's on our money. We have on our bank accounts. Then we have an accounting-based interest, and that is lease accounting rules that makes us report the office lease, not as an office lease cost, but as an amortization on the debt and has an interest.
Fredrik Wester: Very specific.
Alexander Bricca: But very specific. But all in all, it's a positive because the interest we get on our now fairly massive cash position is quite strong.
Fredrik Wester: Right.
Alexander Bricca: So, revenues and operating profit quarter-by-quarter. Again, this chart shows how volatile our quarters are, and it also shows what a massive record in revenues it was. The yellow line also fluctuates percentage-wise. It fluctuates even more than the revenue. But, yes -- and this operating profit includes, as we mentioned, Lamplighters for SEK 250 million. Remove that, and we would have been at the record high SEK 381 million here as well. Next one, rolling 12 months, we put it together in order to see a much clearer trend. And I think the clearest -- the trend is quite clear here over time. It is trending upwards, both revenue and profit. We have had the last 2 quarters a bit of a bump downwards. Let's hope that we can turn that upwards again and continue.
Fredrik Wester: I'm sure we will.
Alexander Bricca: Cash flow. So cash from our operating activities, new record, SEK 526 million.
Fredrik Wester: Not bad.
Alexander Bricca: No, not at all. Last year's Q4 was very strong at that point as well, SEK 344 million, but this year, it's SEK 180-plus million more. So, operating profit was -- let's quickly go back. So, operating profit was SEK 124 million. The cash flow from our operating activities is SEK 526 million in the same quarter, so quite much more. And the main reason is that a large part of the cost that we've had in the quarter have been amortizations and write-downs. And that impacts operating profit, but it doesn't impact the cash flow because it's cash that we spent a long time ago.
Fredrik Wester: And speaking again about organic growth that we paid everything with our own cash in the bank basically. So, yes, we don't have any loans to pay back on the games that we made. So everything comes back as cash. Even if we lose money on some games, it's still paid with our own cash flow.
Alexander Bricca: Yes. Exactly. And going forward, we have a couple of big games that has costed a lot to develop. They will come with big amortizations, but the cash impact from those amortizations are 0. That's important to remember, which decreases the risk quite a lot in the business going forward.
Fredrik Wester: So, that's the case. Yes.
Alexander Bricca: Looking at -- sorry, I jumped.
Fredrik Wester: No, there's the cash flow.
Alexander Bricca: That's the cash flow. Looking at it over 12 months, we have generated -- our operating activities have generated more than SEK 1.4 billion, quite important. And looking at cash flow from our investing activities, we invested SEK 147 million in the quarter of Q4 last year, and that is almost all this investment in game development. If we look at that over 12 months, it's SEK 700 million, so SEK 700 million investment in game development over the last 12 months. Final slide, I think the ratio between our total equity and our total non-current assets. Total equity continues upwards. So that's our accumulated profit, less what we pay as dividends and total non-current assets, mainly capitalized development, whatever we have left on the balance sheet of our acquisitions and some of this accounting-based lease debt. But you see it goes down. It has gone down significantly in Q4. That's because we have released and amortize and written off quite a lot. So the ratio between total equity and non-current assets is quite important.
Fredrik Wester: Yes. It's looking good. But all in all, to summarize, we believe -- maybe we said that already, but we believe we're in a great position. We have cash in the bank. We are able to take advantage of any opportunities that will arise in the market when it comes to game development or whatever we want to do. So all in all, I mean, the quarter is -- it's okay. It's an okay quarter. We could have done better. But position-wise, strategically, the positioning -- position for us is really good.
Alexander Bricca: I agree. So if that was the last slide, should we take some questions.
Fredrik Wester: Let's go. We've had a couple of questions sent in, and maybe some people have added questions as well in the chat. As we go along, we'll take turns, me and Alex answering.
Alexander Bricca: So, this is one for you, I think. In your pipeline of 9 games, what's included? Does it, for example, include Arc titles.
Fredrik Wester: The 9 games that we, say, the main pipeline, as we call it, does not include games from Paradox Arc. Some of these games, the 9 games that we mentioned are announced, like Life by You, Prison Architect 2, Millennia and Foundry, to mention the ones that we know about. And then we have a couple of unannounced games as well in the pipeline. But the Arc titles are managed differently and some of those will be announced and released as well, but it doesn't count to the 9 games that we mentioned.
Alexander Bricca: And also, of course, maybe that's obvious for everyone, but the development that we continue to do on our live games like Stellaris, Hearts of Iron IV and everyone is not included in this lineup.
Fredrik Wester: No, of course, not. Right. And Alex, looking at selling expenses, it was high in Q4 from multiple releases and new announcements. Is it fair to assume this comes down from Q4 in the first half of 2024?
Alexander Bricca: Good questions. So Q4 was, as I mentioned, high for 2 reasons. And what drives the quarterly selling expenses will continue to be those 2 things. How much are we releasing in the quarter? And how much are we planning to release in the upcoming 1, 2 quarters. Of course, we have announced -- yes, we have 5 announced games, and I think we have announced all 5 to be released this year. So, of course, we will see significantly high selling expenses also in the spring. But at least, if you compare it to a year ago, but if you compare it to Q4 and also Q2 last year was very high. Well, once we have released those 5 games, it should start to come down.
Fredrik Wester: Yes. But since we're increasing revenue as well, costs will increase over time. So it's the nature of the beast, so to speak.
Alexander Bricca: One for you. What is your strategy for supporting mods, mod creators and modding tools for the next few years?
Fredrik Wester: Well, the modding community has always been important for us, not only for the creation of mods, but also for the creation of fans and people who actually come to work at Paradox. A lot of them come to the modding community, at least historically. And we will, of course, continue to update and support both the community and the tools that we have and work even more with the modding community in the future. So it's definitely an important strategic thing for us, the whole modding community. Alex, can you comment on your localization strategy? Why support some languages and not others?
Alexander Bricca: Yes. It pretty much comes down to expected audience.
Fredrik Wester: Market size.
Alexander Bricca: Yes. That has that language. Of course, we aim to, in general, I would like to say to support more languages, but we will focus on those languages where we consistently have large player bases. It's a financial decision.
Fredrik Wester: Yes. And we're learning every day, and we're growing -- the company is growing every day as well. So, we might make more languages in the future also as part of our growing business. Yes.
Alexander Bricca: All right. Fred, what are your big picture goals for the next 5 years and 10 years? That's a good one.
Fredrik Wester: It's a good one, and you have to be very broad in your description here, but we don't like doing forecasts and everyone knows that. And when you look at the quarters, you see that some quarters are very good and some are not as good. But as you can see, when I showed -- when we showed the historical trend of Paradox, our aim is to grow and be a better company every year and every day. And the way that we grow is by supporting our community and making better and bigger games for them to enjoy and just enhancing their experiences. So the thing is we should not lose focus on our core business and what we do well, which is making great gaming experience for people. And it's a boring answer, but it's the only answer I can give, but we will continue to grow. We will continue to make great games. That's the 5-year plan. That's the 10-year plan. That's the infinity plan for the company, and it's going to be great to be a part of it. And now I start sounding like a politician. So, we'll take the next question here. Alex, could you elaborate a bit on the CapEx in Q4, as well as what CapEx would have looked like for the full-year '23 without Harebrained Schemes. In addition, do you expect the CapEx to accelerate for the announced releases as they get closer to release? That's a mouthful to say and even more so to answer.
Alexander Bricca: Yes. So what would CapEx have looked like without Harebrained Schemes? So, Harebrained Schemes was our own studio in Seattle. They developed Lamplighters League. So during 2023, they were at full swing finalizing the game and we capitalized everything. At the beginning of the year, there were 6 individuals. Seattle, fairly high cost environment. And what can I more say about. Yes, well, we said that we -- the capitalized development cost on that project when we release the game was SEK 320 million. And that is -- and you can spread that out over the years that has been developed. So then you can figure out roughly how much capitalization that has happened each year, even '23. So, a significant amount of CapEx has come from that game. And of course, when you -- since we have stopped developing on that game, we don't have a study anymore, the corresponding amount will be 0 from today going forward. The second question within the question, do you expect the CapEx to accelerate for the announced releases as they get closer to release? So, we have 5 announced releases. I don't think so, because when you are this close to the release, you are already at full swing, you are at full speed, full studio size. I don't expect that to go up.
Fredrik Wester: No.
Alexander Bricca: Fred, will you continue supporting new games as actively in 2024 as you did in 2023?
Fredrik Wester: This question looks like it was planted there by myself. Well, we love supporting our games. And if people play our games, we will continue to support. And we get a lot of questions about the games that we don't support anymore as well. But yes, the plan is to support our games for -- as long as people play them, we want to support them. And as long as it's also financially viable for us, we will continue to support them. But we have long-term plans for all our games. Yes. So Alex, beside the development cost of Lamplighters League, how much of other costs did you incur in Q4 for that title?
Alexander Bricca: We normally don't share much financial information on separate titles. But on this very one, we did. So when we press released this in October, and we said that -- so what did we say? Yes, we said -- we repeated it in the report. We said that the game has impacted Q4 with minus SEK 250 million. And we've also said that the capitalized development was SEK 320 million. We haven't said exactly how much revenue it was. But apart from that, so yes -- so let's break it down. Amortizations and write-offs for that game in the quarter was SEK 320 million. We have said that. We also have direct development cost for the 19, 20 individuals that worked throughout Q4 and some marketing cost, not that much because we realized fairly soon that the game wasn't selling. And we, instead of throwing good money off the bat, we decreased the marketing spend and saved some money on that. I hope that answers your question.
Fredrik Wester: Yes. To some extent, it does, I think.
Alexander Bricca: Good. All right. Fred, can you detail your roadmap for Cities: Skylines II?
Fredrik Wester: No, I can't detail it. I can't. But I can tell you what we're focusing on. So, improving performance is the top priority for us, also adding mods going forward in the future and the console releases and obviously, continue to support it with DLCs going forward as well. But the most important right now is to improve the performance of the game, making it run smoother and better on most PC machines and then do the other things as well.
Alexander Bricca: More questions. Yes?
Fredrik Wester: Yes, Alex, with a big cash position, are you looking more at internal projects or to be active in the M&As when the rest of the market is hurting and using your strong financial position.
Alexander Bricca: Both. Our main focus, as always, is to invest money in game development. So, I think I said in last 12 months, we have invested SEK 700 million in game development. We will continue to invest in game development, of course, but we have high requirements in terms of risk-reward ratio when we look at new game projects. So, we won't go after everything we see, of course. And it's the same with M&A. It's a good question. There are good opportunities out there now because the bidders are less, the bidders have less money, the expectation from the sellers is less as well. But also when it comes to M&A, we are picky. We have kind of high requirements in -- when we look at the risk-reward ratio in M&A as well. And I think that's the reason why we haven't done that much lately. And I think it will be the same going forward. We will, for sure, look at it. We spend quite a lot of time looking at interesting opportunities, but we rarely pay what the sellers want.
Fredrik Wester: No. And someone asked me in the media this morning, if we're looking at what's the probability for an M&A throughout the year? And my answer was that it's unlikely but not impossible. So somewhere in that scale, if you want to take a guess from there.
Alexander Bricca: Fred, should we infer from Lamplighters League that you're really not going to break -- to try and break new IPs and focus exclusively on established IP? All right.
Fredrik Wester: Yes. But -- no, of course, not. We will always work to establish new IPs and try to hit the balance in between old and proven versus new and like fresh, if you want to call it that. But our pipeline now is much more close to home than it has been in the past 3 years, 4 years. And we focus mainly on strategy and management games and what we really do well. And if you look at Paradox Arc, it's looking much more into new game concepts and new IPs, whereas Paradox Interactive as a whole, focuses more on the core business and what we already do well. So, I think that summarizes the whole product strategy of the company. But just being disheartened by one single release is not the way we do this. Like to paraphrase Jeff Bezos, he said once that if you think this is a failure, you should see all the stuff that we have in pipeline. I mean, we will continue to succeed, we'll continue to fail as long as we succeed much more than we pay. So it's a balance in between the 2.
Alexander Bricca: One more question.
Fredrik Wester: Yes. Alex, the dividend has been moved up, not by much, well, 50% is not little. I mean, I don't know what people...
Alexander Bricca: Maybe they look...
Fredrik Wester: It's not me saying this. It's someone else, right? So not by much, but still moving in the right direction. Now that you have over SEK 1 billion cash in hand, should we expect a ramp-up of cash returns? If not, why not?
Alexander Bricca: If not, why not? We will try to find, of course, good investment opportunities in game projects and in M&A activities. But if we don't -- me as the CFO, I don't want this much money. I don't need this much money to run the company. And at the end of the day, money that is needed in the business, my philosophy is that it should be returned to the shareholders. But at the moment, we are keeping it and see what we can do with it. No more questions.
Fredrik Wester: No more questions. No. And as always, thanks a lot for watching and see you again soon. It's end of April, right?
Alexander Bricca: End of April, it's a Q1 stream coming up. And thanks for watching. If you have more questions or if we missed anyone, e-mail us, and we will answer it over e-mail.
Fredrik Wester: Thanks a lot again for watching and take care until next time. Bye.
Alexander Bricca: Bye.